Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Third Quarter Results for fiscal 2015. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session. [Operator Instructions] As a reminder, this conference is being recorded Thursday, February 5, 2015. I would now like to turn the conference over to Sandy. Please go ahead.
Sandy Vassiadis: Good afternoon, everyone, and thank you for joining us today. A press release detailing our results for the third quarter of fiscal 2015 was issued earlier today and is also available, as we speak, on our website at www.saputo.com. This call is being recorded and will be posted on our website for future reference. I would like to specific that our listeners on the phone and on the Internet as well as journalists are on a listen-only mode. Members of the media or invited to ask their questions by phone after this call. Before we proceed, I'll remind you that certain statements that will be made during this call may constitute forward-looking statements within the meaning of securities laws. Caution should be used in the interpretation of such statements since management has made certain assumptions, including, among others, assumptions regarding projected revenues and expenses; and references to beliefs, expectations, objectives and strategies that are subject to a number of risks and uncertainties, which could cause actual results to differ materially from those presented in such forward-looking statements. For more information on these risks and uncertainties, please refer to the materials filed with the Canadian Securities Regulatory Authorities including our most recent annual report available on SEDAR. Any forward-looking statement made during this call is based on management's current reasonable estimates, expectations and assumptions, and we do not undertake to update or revise such forward-looking statement, except as required under securities laws. The speakers today are Mr. Louis-Philippe Carrière, our Executive Vice President, Finance and Administration; and Mr. Lino A. Saputo, Jr., our Chief Executive Officer and Vice Chairman of the Board. After a brief presentation, we will conclude the call with your questions. Louis-Philippe will now begin the conference, followed by Lino, Jr.
Louis-Philippe Carrière: Thank you Sandy and good afternoon. I will present our result for the third quarter of fiscal 2015 in comparison to those of the corresponding quarter last fiscal year. Net earnings totaled CAD154.6 million, an increase of 10.5 million or 7.3%. Earnings before interest, income taxes, depreciation and amortization, EBITDA, amounted to CAD278.7 million, an increase of CAD18.7 million or 7.2%. EBITDA for Canada Sector totaled CAD102.1 million, a decrease of CAD14 million or 12% related to the Dairy and the completion of the new distribution center project located in Saint-Laurent, Quebec, an increase allowing logistical, operational and ingredient cost. In addition a more competitive [indiscernible] affected EBITDA. EBITDA for the U.S.A sector totalled $129.5 an increase of 18.4 million or 15.2%. And the Cheese Division U.S.A. pricing initiatives or operational efficiencies and higher sales volume increased EBITDA. During the quarter, combined market factors had a negative impact of approximately CAD20 million on EBITDA. Such market factors include an unfavorable realization of inventories, a favorable absorption of fixed costs and favorable average butter market price. The weakening of the Canadian dollar versus the US dollar had a positive impact on EBITDA of approximately CAD10 million. EBITDA for the international sector amounted to CAD27.1 million a CAD14.3 million increase. This increase is due to the inclusion of EBITDA from the Dairy Division Australia. EBITDA out of Dairy Division Argentina decreased mainly due to the decrease volume in the export markets as well as increase operating costs for the quarter. Included in EBITDA is an inventory write down of $6.8 million as a result of the decrease an export to market sales price. EBITDA over the dairy division was comparable to the corresponding quarter, last fiscal year. Consolidated revenue was for the quarter ended September 31, 2014 amounted to CAD2.822 billion, an increase of CAD478.6 million or 20.4% in comparison to $2.343 million for the corresponding quarter last fiscal year. This increase is due to the inclusion of the Dairy Division Australia and the international sector and the Scottsboro acquisition in the Canada sector. The higher average block market per pound of cheese as well as higher average butter market price in the USA sector. Higher selling price in relation to the higher cost of milk and a favorable product mix in the international sector. Higher sales volume in the USA sector and the fluctuation of the can Canadian dollar versus foreign currencies. Net cash generated from operating activities amounted to CAD182.3 million in comparison to CAD209.8 million for the corresponding period in the last fiscal year. During the third quarter, we invested CAD54.8 million in addition to property, plant and equipment. The issued shares as part of the stock option plan for a cash consideration of CAD6.6 million paid CAD25.9 million for the repurchase of share capital as part of the normal course issuer bid, reimbursed CAD148.6 million and bank loan and CAD190.9 in the long term debt. Paid CAD50.8 million in dividend and proceed with the issuance of CAD200 million series one medium term note maturing in November 2019. The Board of directors approved a dividend of $0.13 per share payable of March 13, 2015 to common shareholders of record on March 2, 2015. Lino Junior will now proceed with the presentation of our outlook
Lino Saputo: Thank you, Appy and good afternoon to you all. I am pleased with our third quarter results which are shown growth in net earnings, EBITDA and in revenues. I believe these results clearly demonstrate we have the right platform to further develop our business, increase our international footprint and continue to be recognized as one of the top thirty processors in the world. Our divisional structure just to have well-balanced operations in countries where we operate and creates possibility to leverage opportunities and provide the stability for each division to effectively manage opportunities and challenges. More specifically in Canada, the competitive nature of the Canadian landscape continues to put downward pressure on margins. The Montreal DC. is on track to being fully operational by the end of this fiscal clear. Since the beginning of fiscal year, the dairy division Canada has been impacted by competitive market conditions, increased warehousing and logistical cost, the delay in the completion of its new distribution center and certain operation inefficiencies which resulted in higher production costs. We intend to take all necessary actions in order to implement measure to improve the profitability of the division. Earlier this week, we also completed the sale of our bakery division. It represented less than 2% of our consolidated revenues. Notwithstanding, it was a good business and we wish all the employees must success within their new ownership structure. In the U.S.A. sector much like the previous quarter we see an increase in sales volumes and we look to find innovative ways to improve efficiencies in both the manufacturing and distribution facilities across the U.S. We will also monitor fluctuations in very market to mitigate their impact on operations. During the remainder of fiscal 2015, we will keep focusing on volume growth and the Cheese division USA to joint efforts with our international sector geared towards growing the export sales market. The dairy foods division USA will continue to benefit from pricing initiatives and other measures implemented to mitigate impact of commodity price fluctuations. The international sector will pursue sales volume growth in existing market and an additional ones. The most recent inclusion of the Dairy Division of Australia have provided an additional platform to seek long-term growth. Our intent to accelerate growth in Australia remains and we are working on several initiatives to that effect. Changing global economic conditions and price volatility affect the international effective pricing as well as other input costs. We continue to search for additional efficiencies to decrease cost while strengthening our market presence. I remain confident we have the assets we need to further develop our business, and the capacity to minimize impacts stemming from the potential volatile market conditions. Our long term outlook for international platforms remain the same. We believe with the demand of dairy solids will outpace supply and we have the right structure and global diversity to expand. Acquisitions remain at the forefront of our strategy. I'm very optimistic about the opportunity for Saputo to continue the growth requisition. We still have quite a bit of runway ahead of us. And I think there are some really exciting times ahead. On that note, I thank you for your time and we will now proceed to answer your questions. Benjamin?
Operator: Thank you. [Operator Instructions] One moment please for our first question. our first question comes from a line of Irene Nattel. Please proceed with your question.
Irene Nattel: Good afternoon everyone. I was just reading the quarterly report. It sounds like that things are really coming along nicely in the U.S. division with pricing gains volume growth, efficiencies and I am just wondering if we think through sort of Q4 and into F’16 how we should think of putting market factors aside by the evolution of both the topline and profitability as the sector.
Louis-Philippe Carrière: Actually a very great platform for us. The U.S. now with diversity between the cheese division and the dairy foods space. Q3 was a very good quarter for the U.S. and dairy foods actually drove the boat on S1. It was a good quarter for our daily foods business on a volume perspective as well as commodity pricing prospective. We have made some is strives and end-roads creating great focused within that that are platform focusing on raw material, control, spoilage, working well, with our partners in our customers, on product innovation. And I'm very proud and satisfied with the progress they have made in a very short time. The diversing of the two platforms allows us to have quite a bit of opportunity, both from a volume perspective the top-line growth initiatives. In fact our cheese division grew 4% in volume over the course of this quarter versus last year. There are still are opportunities for us to make other inroads on the cheese side as well as on the very food sites. But for top line, I'm very optimistic that organic growth of Indian line with what we expected and what we've expected from the beginning of a fiscal year. There still remain some opportunity for us to material and acquisition I think both on cheese and on dairy food sites. I think the market still remain quite fragmented but again will be patient and will make sure that if we are going to make it’s the right deal with the right strategic fit and at the right price. That being said, notwithstanding any initiatives we do on the acquisition side, we still have a focus of operational efficiencies and operational excellence and I know that that Terry on his side on the cheese side and Paul Corley on his side and the dairy food side always looking at new opportunities to try to do more with less. So I am very-very optimistic about the potential that the U.S. business can bring to us.
Irene Nattel: That's very helpful and as we think about acquisition in both cheese and dairy, are you seeing more opportunities and in what kind of size range are you seeing at this point.
Louis-Philippe Carrièr: I would say and this might be a boreing answer for you I mean because I have been saying the same thing for many years but the opportunity always seem to be in terms of numbers about the same. I start because the economies are good or the economies are bad or they are more or less opportunity for acquisitions. I think for a number of different reasons companies will find you the timing would be right for them to divest of their assets. The great thing about our company is that we have always kept our balance sheet very-very clean and when those opportunities would come along, we felt that we had the right resources whether it would be financial resources or human resources to materialized an acquisition. So there are, I would say that there is potential still, I would say $500 million range. There is potential in the billion-dollar range and I would not exclude the potential of maybe $2.5 million $3 million side businesses that eventually could come available to the market for us. Again as I have always said we will be patient. This is not a sprint, it's a marathon. It will be focused and will be very, very disciplined as we look at those opportunities that come our way.
Irene Nattel: That's great, can I just ask one final question on the U.S. if I may, clearly having success and building a business and export market but just wondering at this point in time, given the surge in the U.S. dollar and whether that [indiscernible] or anything or not?
Louis-Philippe Carrièr: No, not necessary. Again, we have a long term prospective on both of our domestic and international present. The market will be volatile, they will go up and they will down, foreign exchange will be favorable and will be unfavorable. I think it's important for us, especially as we become more credible suppliers to the world market. We need to be a long-term sustainable suppliers to the customers that believe in us and so again sometimes those market will be more profitable and sometimes less profitable but our orientation is to be present all the time.
Irene Nattel: That's great. Thank you.
Louis-Philippe Carrièr: Thank you, Irene.
Operator: Our next question comes from the line of Martin Landry, please proceed with your question.
Martin Landry: Good afternoon, I wanted to talk about the public debt that you have raised at this fall. Curious to see what was the reasoning behind going to the public market as oppose to use bank debt to finance your needs.
Louis-Philippe Carrière: First of all, I think that we said in the past that we certainly want to maintain at least one time EBITDA and the balance sheet we have the few years ago, less than probably $200 million debt. Certainly, we are sitting to be about 1.8 times and in term of the overall debt and it’s certainly another source of financing. I think that we were to be probably mature to get some reading and to get to that public market and so the – the reciprocation of the financing source even though we have the whole support of our banking [indiscernible] and we proved themselves over the course of two years. over the course of last two years where the financing into [indiscernible] as well as the acquisition so I would more diversification of source of funding.
Martin Landry: Okay and the interest rate that you have received on or near a public debt is it lowered that what you pay on your bank debt.
Louis-Philippe Carrière: About two things personal bank debt, you need to keep in mind that one is six or five years that was different maturity, that's the different thing. In light of the market, in light of the spread that we do pay, I think it was one 1/10 spread over her Canada and that certainly we are in a good position in terms of way that were essentially giving in terms of that offer. It is I would say little bit higher if you compare to the actual rate that you would see on revolver financing bank loan.
Martin Landry: Okay a little higher, okay. And just on operationally, may be if we look at Canada, are your volumes down in Canada, or your cheese volumes for the quarter and how does that compare with an issue volumes.
Louis-Philippe Carrière: The Canadian market itself as either stagnant or declining. I think the last numbers I look at the for the Canadian dairy consumption and dairy was a 1% decline. We've grown our presence in the market and we grown market share. So we are doing very well at the fluid level. We are doing well at the Cheese level and I would say we are doing well at the retail level as well as at the food service and ingredient level. So from a volume perspective, the issues that we had in our Canadian business would not be the factor that took our profitability down this quarter. The real issue for us was more competitiveness in the market that we have to contend with and we are happy to be partnering up with the leading banners in Canada and we have got a nice, longer-term contracts solidified there so I am quite comfortable with that positioning. However, there was some margin erosion related to pricing competitiveness in the market. I would also add to that there are some operational issues that unfortunately were self-inflicted in terms of our lack of profitability, their programs and projects like the Montréal DB that we expected to have benefited from that. We haven’t received the benefit from there. There are some other operational efficiencies that were to be executed in second and third quarter that had not materialized that would only be executed in the fourth quarter in and into Q1 of next year. So again, the some of the pain that we are feeling in Canada was self-inflicted and some of it was really market conditions.
Martin Landry: Okay, thank you very much.
Operator: Our next question comes from the line of Michael Van Aelst. Please proceed with your question.
Michael Van Aelst: Good afternoon, I would like to follow up on Canada for first year, as far as the cost related warehousing and in logistics costs, you quantify those at all, or at least let us know if it increased versus if those cost pressures increase versus Q2?
Louis-Philippe Carrière: The cost costs have increased but I can’t go into too much detail beyond that. Again, there are certain things that we had planned as the benefit or savings that unfortunately not materialized over the course of this fiscal year and again that has nothing to do with market conditions that's really internal execution that unfortunately was not properly done.
Michael Van Aelst: Were they significantly greater than the cost incurred in Q2 though?
Louis-Philippe Carrière: They were greater.
Michael Van Aelst: Okay. If you look at the U.S. you talked about how as strong dairy food was, and if I remember correctly, I think you pass along some of your higher cost with price increases last quarter just before the cream cost started to fall off. Are you able to hold on to these higher prices for long or do you except that passages along soon.
Lino Saputo: We have got a few different models of pricing protocol in the U.S. I think the benefit that we saw in this last quarter was the combination of things. Number one was lower commodity pricing was a benefit, so as the butter prices came down with some other formula models, we had that would begin the benefit to us. Of course within the profile of our customers categories of product, there had been some price increases that were initiated for products that even in a declining market was still had a loss for us. So I think our sales folks in the dairy foods, U.S. business took some great initiative but raise pricing when they needed to right price but more than that I think operationally as well I think we did a really good job of managing raw material cost and control, our spoilage and giveaways and so there is really a keen focus on operational excellence in a dairy food spaces as well.
Michael Van Aelst: Okay and then just on the international, is there any seasonality at Warrambool in terms of the profitability and can you talk just a little bit about the commodity prices and whether or not the full impact of the drop in my commodity prices in the international market has been felt in your profitability, or is that still being delayed I guess or muted by long-term contracts.
Lino Saputo: We are still going through some of the effects of the declining market which we are probably going to see in Q4 again. The difference between the Australian international market and the Argentine international market is that typically the milk price in Australia will follow the international market. In Argentina that's not the case, we have got milk price that check with our farmers foreign exchange has an impact on us. So I would say that the Australian business is much more tied to international pricing than the in Argentina is.
Michael Van Aelst: And is there any seasonality profitability at Warrambool or just market driven?
Lino Saputo: It is primarily market price driven.
Michael Van Aelst: Alright, perfect. Thank you.
Operator: Our next question comes from the line of Peter Sklar, please proceed with your question.
Peter Sklar: Thank you. The cheese price came off towards the end of the quarter, I am just wondering why I mean you did take the inventory write-down in your international segment but you did not identify an inventory write-down in the U.S. segment, So I am just wondering whether they are not a write-down or was there a write-down in the U.S. segment.
Lino Saputo: There was the only write-down that was naturally down-ward on the international side, and that has occurred in November and in December because we do essentially follow let’s say any write-down that would necessary, not only on the quarterly basis but on the monthly business for our own perspective. In the U.S. there was no requirement to turn off any write-down even though the drop of the block price certainly command for to take essentially evolution and the testing and all but there was no improvement to or right-down to be done.
Peter Sklar: Okay my next question, Lino, can you explain the dynamics on how the butter price impacts the profitability of the dairy foods division. If you look at your MD&A, on the one hand, you're saying the average butter market price increased revenues versus last year, which I assume would be a positive. And then you say, that the sharper decrease in the average butter price, average butter market price in the quarter also positively impacted EBITDA. So I am just a little confused as to how the commodity price impacts your revenues and your EBITDA?
Lino Saputo: okay, so revenues will be influenced by as commodity price itself, as well as volume. So if you have got higher prices, even if you have the same volume, your revenue numbers are going to go up and if you've got a decline in the commodity prices, even if your volume goes up, you may have less revenue in terms of actual dollars. On a declining market, the input costs for our, it’s almost like a lag and drag like we may see under USG side, when you've got a declining market typically you are buying milk higher-price and selling cheese at a lower price for the lag, okay? In the dairy foods side we are buying, we are actually forecasting where we think the cream prices are going to be at and we price based on the future forecast.
Peter Sklar: So when you have a sharp decline in the cream price, then that means you beat your budget? Is that the -- ?
Lino Saputo: That's correct.
Peter Sklar: Yes. Okay. And then just one last question. I believe there is a drought that is developing or has developed in New Zealand. And I am just wondering if there's any positive read-through for Warrambool, in terms of more opportunity in export markets, or is their business pretty well-constrained by milk supply?
Lino Saputo: Yes, I'm hoping that there is going to be a benefit of the drought. Right now the situation that exists in the international market is that there was an oversupply of dairy solids and for the demand and some countries are sitting on heavy inventories of whole milk powders and butters and so again this like the pendulum at that shift back and forth, sometimes there aren't enough solids for the demand and sometimes there is a too many solids for the demand. I just came from the idea of a conference in Boca Raton last week and what the economist of the industry are saying that we should be feeling a low market until perhaps sometime in the month of August or September of this calendar year. Now with the drought to New Zealand, I'm hoping that fact that will make the decline shorter than August and September but based on what we are seeing in terms of inventory stocks as well as production and you understand that when the dairy farmers put on production, it takes three to six months before they wrap up while that also take three to six months before they ran down production. So all of the economists or most of the economist in the industry are expecting that this will, we still have a tough time from a pricing international pricing perspective, at least until August or September.
Peter Sklar: Okay thank you
Operator: Our next question comes from the line of Mark Petrie. Please proceed with your question.
Mark Petrie: Good afternoon. I just want to follow up on the US and a couple of questions. It seems like cheese stocks and milk production are continuing to climb, and I'm -- when we have seen that in the past, you have spoken about some irrational activity on the part of some of your competitors. Are you seeing any indication that might be the case, if stocks continue to decline and prices remain low over the next few months?
Lino Saputo: Well, see the domestic demand in the U.S. is still quite strong. Why there is a surplus of solids in the ULS. I think it has a lot to do with what went on internationally. I think I mentioned in previous conference calls that historically the U.S. was exporting about 3% or 4% or total solid produced. That number shot up to about 17% I believe the last numbers I looked at. When the international markets get softer, of course, some of those co-ops and other enterprises that were selling internationally might be sitting on stock. So somewhere along the line that going to have an impact on the block and we saw that really in the third quarter of this year and we saw that at the beginning of the fourth quarter, our fourth quarter here. So the demand itself is quite strong but supply is plentiful and perhaps it might be going forward with some irrational behavior from some of our competitors that doesn't mean we have to follow their irrationality. I think we've always been very disciplined. I think we've always been that very logical about our approach to market and I think we will continue doing that, going forward.
Mark Petrie: Okay, thanks. That's helpful. And then, just in terns of the competitive landscape, can you just give your outlook for Canada? Are we through the worst in terms of the competitive activity or what's your outlook?
Lino Saputo: I am hoping, we have seen obviously you know, again its unfortunate there has to be this kind of war in a captive market but again. We have got very strong products, very strong brands, good market share and with some very good banners. We are hoping that that some of the irrational competitive behavior here in Canada will subside and as we move forward there would be some decent profitability coming back to the to the Canadian business.
Mark Petrie: Okay, thanks. And then just lastly, on the US market, for the market factors, is that consolidated between the cheese business and the dairy foods business? And if it is, could you just give us some sense directionally of what the market factors might have been for each of those divisions?
Lino Saputo: Yes, the market factors effectively are consolidated, it is combining both the cheese business and as well as the beef business, dairy food about one-half is essentially segregating separately.
Mark Petrie: But fair to say that it was positive for dairy foods and negative for cheese?
Louis-Philippe Carrière: Absolutely, I would agree because even as Lino was mentioning certainly the drop in the butter market fortunately favorable for us.
Operator: [Operator Instructions] our next question comes from the line of Keith Howlett. Please proceed with your question.
Keith Howlett: Yes, I had a question on the Canadian market. The competitive activity, is it primarily in fluid milk or primarily in cheese, or is it really in every segment, in every product? Or where would that be most intense?
Lino Saputo: So if I look at top three players in Canada, the top three players in Canada are ourselves, Agropur and Parmalat are all in fluid milk and cheese. So the activity that we have seen, competitive activity we have seen in all categories of products and diary.
Keith Howlett: And then, just a question on the impact of foreign exchange on the EBITDA and international sector. You provide some detail on the effect on revenues in the international sector. Should I infer that there is no material the impact on EBITDA?
Lino Saputo: I agree, yes.
Keith Howlett: Okay thanks. And then And then, I just wondered if you could speak to-- I guess it's almost one year or it's over one year now that you've owned Warambool, just where you see that business and what you're looking at, trying to achieve in the year ahead? And how your relationship with farmers are going, in terms of long-term supply, et cetera?
Lino Saputo: Our intentions for that business are no different than what we've announce publicly when we were going through the bid process. We have a good management team that's in place there. Of course will we do have an independent board, which I chair and so there is going to be good disclosure and other information coming out of just WC business itself but I can say as the major shareholder of that business where we are very satisfied with what we are seeing so far. Again, just maybe give a bit of color to what we announced at the time of our intent own the businesses that we want to facilitate the development of that business. That would mean potentially providing the fuel for acquisition and/or some additional consolidation in Australia. We are active in a number of files in Australia and we are hoping that that we can bring some of those file to fruition which will be in the benefit of Bob WCB– an entity. So again management remained in place. we've got a good structure, good people, local folks that continue to manage business. Of course with the be support and guidance of the Saputo Corporate and/or Saputo International players where they exchange some information and ideas– and perhaps some tactics, but by and large that business is running really as the standalone business with the support of Saputo’s financial strength.
Keith Howlett: And so, I guess, Warrambool will continue to report, I guess, twice a year? Is that correct?
Louis-Philippe Carrière: Essentially [indiscernible] report, probably next week, essentially keeping in mind that we change the year-end for which essentially it is going to be the same year end of Saputo. So first reporting next week for the first six months of 2014. So from July to the end of December.
Lino Saputo: And the next reporting is going to be a later on following the end of the year, ending in March.
Keith Howlett: I see, so they will they report sort of twice in that period.
Lino Saputo: So there is going to be six months and three months for this fiscal nine months year 2013.
Keith Howlett: And it is sort of technical question on the -- when you're doing the inventory loss, I guess, in the U.S. market. The cheese price dropped a lot during the quarter, so would that mean your inventory turns are fairly lengthy, so your average inventory cost was no impact? Or how do you come out with that result, I guess?
Louis-Philippe Carrière: First of all you compare the, its an easy test or simple testing at the end day for which essentially you compare your cost from each category of product in light of essentially the net realization value. The net realization value is essentially linked to your selling price, net of direct expense that could be especially delivery selling and stuff like that. So, even though you pass the test and you are okay so that does not mean that you are surpassing the test, so you could be borderline for which essentially if it is the case, there won’t be any requirement for any right-down but certainly I would be just diminishing let’s say profitability for the following short period. In the U.S., there was no improvement at all in the international sector, so if anybody drop of the selling price on the international market, there was a requirement to do some write-down.
Keith Howlett: Great, thank you. And I just wondered, had a question on innovation. I noticed that Coca-Cola is going to try a new protein-based dairy beverage. I was just wondering how -- which I know it's a focus of the Company -- how you are looking at the balance of calendar 2015 in terms of new products?
Lino Saputo: So for us, within every single one of our sectors, we look at innovation and innovation goes to, one could be being more effective and more efficient, I mean it’s getting a higher yield with the same amount of milk is more of an R&D innovation type of project for us. The innovation that you are referring to is the new product development and within every single one of our sectors, each of the president drives the innovation on a new product development based on their customer profile. So at the SGS level, we have a research and development team that brings out new products and presents them to quick-serve restaurant customers and offers them as perhaps a new menu item. So some of the new menu items that you may have see at the quick-serve restaurants might be initiated by our dairy foods business. On Saputo cheese side, innovation might come in the way of a new category of cheese line or perhaps even a new packaging configuration for the market or for the consumers. And then here in Canada we have fluid milk, new products like our milk to line of product for sport, which is not far from the innovation of what Coke is trying to achieve although there strategy is little bit different than ours. We are I think at the forefront of new product development and bring new products to market. So again each our president controls, or destiny related to products they wanted to market relative to their consumer base.
Operator: Our next question is a follow up question from Michael Van Aelst. Please proceed with your question.
Michael Van Aelst: Did you see any volume growth in the dairy food side of the US business?
Lino Saputo: Yes dairy foods grew in this last quarter.
Michael Van Aelst: Okay, and the 4% growth that you talked about on the cheese side, how much of that is tied to success in the export markets?
Lino Saputo: A very little of it tie to the success in the export market and the fact in Q3 there was a slow down an export sales, a lot of the growth that we saw on the cheese side came from the domestic sales.
Michael Van Aelst: And those longer term contract sales are those on-time because of the supply was available?
Lino Saputo: No I won’t say that is one time but I wouldn’t say it’s contract side because most of what we do on the cheese side is non contract basis relationship based, so I would it’s a new relationship that we forged with customers, we hadn’t had before, in addition to some growth we had with existing customers. Operator We have no further questions from the phone line at this time.
Lino Saputo: Thank you very much Benjamin.
Sandy Vassiadis: We thank you for taking part in this conference call. We hope you'll join us for the presentation of our 2015 fourth quarter and year-end results on June 4, 2015. Have a nice day.
Operator: Ladies and gentlemen that does concludes today's conference call. We thank you for your participation and ask that you please disconnect your line.